Operator: Good day everyone, and welcome to today’s Cineplex Inc. Q4 Year-End 2018 Analyst Call. Just as a reminder, today's call is being recorded. At this time, I would like to turn the call over to your host for today, Melissa Pressacco, Please go ahead, ma'am.
Melissa Pressacco: Good morning. Before beginning the call, we would like to remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management's beliefs and assumptions regarding the information currently available. Actual results could differ materially from those expressed in the forward-looking statements. Factors that could cause results to vary include, among other things, adverse factors generally encountered in the film exhibition industry, risks associated with national and world events, discovery of undisclosed material liabilities and general economic conditions. I will now turn the call over to our President and CEO, Ellis Jacob.
Ellis Jacob: Thank you, Melissa. Good morning, and welcome to Cineplex Inc's fourth quarter and year-end 2018 conference call. We are glad that you could join us today. I will begin by providing a brief overview of our top line results as well as a summary of our key accomplishments during the fourth quarter. I will also highlight what has been stored for the balance of 2019. At the conclusion of my remarks, our Chief Financial Officer, Gord Nelson, will provide an overview of our financials. As always once Gord has concluded his remarks, we will move forward to question-and-answer period. I'm pleased to report that 2018 was a record year for Cineplex. Total revenue increased 3.8% to $1.6 billion and adjusted EBITDA increased 8.7% of $256.4 million, Our highest EBITDA going public. As we continue to focus on managing our costs, in addition to seeing our diversification initiatives, those scale and show more meaningful return. This was accomplished in a year with one of the largest increases in minimum wage, which required us to mitigate roughly $13 million in additional costs. As supported by the strong Box Office in 2018, the movie industry continues to be vibrant. Last year, we had to deal with the highest grossing films ever in North America with Avengers Infinity War and Black Panther. Other standout performance included Incredible 2, Jurassic World: Fallen Kingdom and Deadpool 2. Simply put, guests will come to the movies when quality content is available and they still want to experiences it in a social setting in the theater on a big screen with great sound and great amenities. The offering has only improved over the years compared to the limited offerings when we went public in 2003, you can now enjoy a movie in a number of different formats including 2D, 3D 4DX, ScreenX, UltraAVX, IMAX, D-BOX, the Clubhouse and VIP cinemas. These are key differentiators in the out of home movie experience. Looking at the fourth quarter, many key revenue segments delivered strong results, including total revenue, which increased 0.4% to fourth quarter record of $428.2 million and adjusted EBITDA up 2.5% year-over-year to 481.6 million. Box office revenue decreased slightly due to the strong comparison in 2017 with Star Wars: The Last Jedi. However, theater food service revenue increased 0.6% to $111 million with the CPP of $6.53 representing a fourth quarter record. Gord will go into a greater detail about the fourth quarter results in a few moments. Now I would like to highlight some of our key accomplishments during the quarter. Beginning with film entertainment and content. Despite the marginal decrease, the Box Office performed better than expected in the fourth quarter with films like The Grinch, A Star Is Born, Venom, Bohemian Rhapsody, and Fantastic Beasts: The Crimes of Grindelwald representing the top five. During the quarter, we announced plans to open our second standalone adult only VIP cinema theatre in Calgary University District. Scheduled to open in 2021, the theater will be dedicated exclusively to adult movie goers with five specifically designed auditoriums and a fully licensed launch. As we continue to provide the viewers in most innovative movie going experiences to our guests. We opened Canada's first ScreenX auditorium at Cineplex Cinemas Queensway and VIP during the quarter. ScreenX provides the panoramic movie watching experience that surrounds audiences with imagery beyond the frame of the traditional movies screen and provide them with a sense of being inside the movie. Initial results have far exceeded our expectations and we will expand both ScreenX and 4DX to additional locations throughout the year. Alternative programming reported growth in revenue and attendance for the fourth quarter with strong performances from documentaries Burn the Stage and They Shall Not Grow Old. The opera and stage performances King Meteor and The King and I which go through large audiences. Looking at our digital products, cineplex.com registered a 9.4% increase in visits in the fourth quarter and online and mobile ticketing represented 29.8% of total admission. During the quarter, we continue to update the new Cineplex mobile app including the addition of Apple wallet support. Launched in the third quarter the new app offers and most simplified ticket purchase process, digital tickets for paperless entry and mobile food and beverage ordering and VIP auditoriums for our guests. We continue to see strong growth quarter-over-quarter in all of our digital commerce initiatives. On the Cineplex store active monthly users grew by 30% in 2018 reaching over 980,000 users. Moving to media. Faced with the tough year-over-year comparison as a result of a record fourth quarter in 2017 totaled media revenue decrease 5.4% as expected, primarily due to lower cinema advertising and digital media project installation revenue. The 6.8% decrease in cinema media was a result of lower on screen revenue as compared to the prior record fourth quarter, which was due to the highly anticipated Star Wars: The Last Jedi. Looking at the Cineplex digital media, the 1.9% decline in revenue was primarily due to the strong comparative from last year's initial rollout of the Citizens Bank contracts which occurred during the fourth quarter of 2017. We also have a number of significant installations still in the pipeline from our most recently announced contracts, including Arcos Dorados and Subway Europe. Shifting to amusement, gaming and leisure. Amusement revenue continues to become a more important part of our business with total revenue of $205.8 million in 2018 as a result of contributions from player one, amusement gaming and our theaters and The Rec Room. The Rec Room reported strong growth during the fourth quarter as a result of the contributions from the additional locations and operational refinements and achieve the store level margin EBITDA of 22%. During the quarter, we announced plans to open a new location a Park Place in Barrie’s with construction scheduled to begin early next year and a targeted opening of summer 2020. Player One Amusement Group had strong fourth quarter revenue due to increased route revenue in the U.S., which was an harder result of the Cinemark agreement signed in the second quarter of 2018. WorldGaming and partnership with Alisports held World Electronic Sports Games Canadian and U.S. Regional Championships in Toronto and Los Angeles in the fourth quarter. Winners from the eight separate competitions in the world's only Olympic star eSports tournaments will represent their countries at the global grand finals in China next month. Also during the quarter, Collegiate Starleague launched its 10th annual season of Collegiate eSports Leagues, a longest standing and largest footprint for competitive gaming programming between schools in the U.S. and Canada. Moving to SCENE. Membership in Canada’s stop entertainment loyalty program continue to grow as we added 200,000 members during the quarter, bringing our total to 9.6 million members as of December 31, 2018. As mentioned in last quarter's call, SCENE announced a pilot of a new Premium SCENE Gold loyalty card that offers guests exclusive perks and more points. Only available in Edmonton, the pilot still in early days, but we are encouraged by the initial results. Cineplex has gained tremendous insight into customer behavior with over 10 years of data collected. We will continue to focus on leveraging the information through marketing, automation, artificial intelligence and machine learning to drive customer behavior and expand our insights. Now, let's take a look at the film slate. Even though the first quarter is off to a softer start, we anticipate another strong year at the Box Office, driven by several highly anticipated starts. We like to see a combination of action, adventure, comedy, drama, science fiction and animated children's features throughout the year in addition to strong film sequels. This year has a variety of genres available in traditional and premium formats. Opening today, we have the Robert Rodriguez and James Cameron film Alita Battle Angel then is How to Train Your Dragon, the Hidden World, the latest and the popular animated series opening Feb 22nd. And one of the most anticipated film of 2019 Captain Marvel starring Brie Larson, Gemma Chan and Samuel L. Jackson opens on March the 8th. With three weeks total remaining on press release pre-sales for Captain Marvel are already tracking ahead of Black Panther. Looking ahead to the second quarter, on April 26th, we have the latest Avengers film with Marvel's Avengers Endgame, then it May we have the live action adaptation of the Disney Classic, Aladdin starring Will Smith and the Space Adventure, Ad Astra starring Brad Pitt and Tommy Lee Jones also opening on May 24th. We close out the month with the Elton John film Rocketman coming to theaters on May 31st. And June doesn't appear to slowdown with films like Dark Phoenix, the Marvel X-Men film with Jennifer Lawrence and Jessica Chastain, the animated sequel Secret Life of Pets 2 and the new Toy will join Woody and the Gang and Pixar Toy Story 4, all opening in the month. Looking to the second half of 2019 I'm equally encouraged by the strongest slate of films set to hit theaters including titles like Spider-Man: Far From Home, The Lion King, Hobbs & Shaw, Chapter 2, Joko, Frozen 2, a Jumanji Sequel and Star Wars: Episode IX. Also as we enter an eventful year for our location based entertainment team, we are looking forward to opening four locations at The Rec Room and two Playdium locations in 2019. We also hope to announce our first off calls location very soon. But what appears to be a strong film slate for the year combined with our continued focus on growing our diversified businesses, I’m very confident that we are positioning the Company for success. In the months and years ahead, we will remain diligent and continue to control costs and invest wisely to build a business for the future. With that, I will turn the call over to Gord.
Gord Nelson: Thanks, Ellis. I'm pleased to present the fourth quarter financial results for Cineplex Inc. For your further reference, our financial statements and MD&A have been filed on SEDAR this morning and are also available on our Investor Relations website at cineplex.com. We continue to execute our diversification strategy and for the fourth quarter, total revenue increased 0.4% to a Q4 record $428.2 million and adjusted EBITDA increased by 2.5% to $81.6 million. If you look at specific items, Cineplex's fourth quarter Box Office revenue decrease 1.5% to $182.4 million, compared to $185 million in the prior year, primarily due to the strength of Star Wars: The Last Jedi in the prior year. Attendance declined 3.2%, but this was partially offset by BPP increase of 1.8% which at the back illustrated fourth quarter record of $10.73 up from $10.54 in 2017. Food service revenue increased 1% to $120.7 million. Included in food service revenue is $9.7 million from The Rec Room. Excluding revenue from The Rec Room, theater food service revenue increased by 0.6% from the prior year. Due to the 3.8% increase in concession revenue per patron to a fourth quarter record of $6.53 partially offset by the previously mentioned decrease in attendance. The CPP growth those are attributed in parts to expand in food offerings, including those available at Cineplex's VIP cinemas, Outtakes and additional licensed locations. Total media revenue decreased $3.3 million or 5.4% to $58.2 million for the quarter. Cinema media revenue, which is primarily theatre based decreased 6.8% due to lower pre-show advertising as compared to the prior period. The prior year was an all-time quarterly record due to the highly anticipated Star Wars: The Last Jedi. Digital place based media revenue decreased 1.9% compared to the prior year period, primarily due to the strong competitor in 2017. As a result of the large initial rollout for Citizens Bank. We have started to break up the project revenue versus other revenues in our MD&A disclosure this quarter. For the quarter project revenue was down 10.6% primarily as a result of the aforementioned Citizens Bank rollout in the prior year. The other category includes software, maintenance, support, creative and advertising revenue, this category was up 2.4% in the quarter with the software support and creative component up 6.6% and the advertising component down 1.8%. Year-to-date, we have increased our location count by 4.5% or 576 new locations to a total of 13,502 locations. Amusement revenue increased $4.2 million or 8.5% due to strong revenue growth from The Rec Room, which contributed $7.5 million of amusement, gaming and other revenue. With respect to The Rec Room, total revenue grew a $1 million over the prior year with five locations opened for the full quarter. Margins were up 2% to a quarterly record of 22% on the strength of the holiday season and continued improvement and optimization of operations. P1AG revenues increased by $3.5 million due in part to an increase in revenue in the United States as a result of this Cinemark agreement. Turning briefly to our key expense line items. Film costs for the quarter came in at 50.2% of Box Office revenue as compared to 53.4% reported in the prior year, which reflects the impact of the strong titles in the fourth quarter of 2017. Cost of food service for Q4 2018, excluding the $2.3 million incurred at The Rec Room was 21.4% as compared to 22% in the prior year. Cost of food service at The Rec Room of 24%, down 4.4% from 28.4% reported in the prior year as a result of improved cost management and menu optimization. Other costs of $228.6 million increased $7.6 million or 3.5%. Other costs include theater occupancy expenses, other operating expenses and general and administrative expenses. Theater occupancy expenses were $52 million for the quarter versus a prior year actual of $50.1 million. Primarily due to the relative impact of one-time items and other non-rent increases. Other operating expenses were $163.8 million for the quarter versus a prior year actual of $155.1 million, an increase of $8.7 million. Increases included a net $0.7 million related to The Rec Room, which was comprised at a $1.4 million increase due to new locations, offset by $0.7 million in cost efficiencies at existing locations. A $3.9 million for P1AG due to increased business volumes and timing of certain expenditures. A $2.5 million increased in same-store theater payroll, mainly due to the impact of minimum wage increases of $3.3 million which were offset by volume and labor efficiencies realized in the quarter. And a $2.8 million increase in scene cost due to the timing of expenses. These increases were offset by a decrease in media cost of $2.3 million, due to the cost reduction program and a decrease in business volumes. And business interruption proceeds of $1.7 million, resulting from new flyer in 2017 at Cineplex Cinemas seat and VIP. This represents the final amount of insurance proceeds for the flyer. Pre-opening costs for The Rec Room of $0.3 million, as compared to $0.7 million in the prior year were also reduced due to the timing of openings. G&A expenses were $12.8 million for the quarter, which was $2.9 million lower than the prior year, due to a $2.6 million decrease and share-based compensation expenses. Mainly due to Cineplex's lower share price, which decreased $9.56 during the current quarter, as compared to a nominal increased in the prior year period. Partially offset by restructuring costs in the amount of a $1 million related to our $0.5 million cost reduction program. Business unit level and cost reductions will be reflected in the other operating expenses as detailed in our MD&A. Interest expense increased $4.1 million during the quarter to $10.7 million, but included a one-time charge of $2.7 million related to the amendment and accessing of our credit facility and an increase of $1 million in non-cash swap expense related to the interest rates environments. Net CapEx for the fourth quarter was $21.4 million as compared to $46.2 million in the prior year. Due to the impact of timing, net CapEx for the year was $95.3 million. The difference between our original target of $125 million and revised target of $150 million was a result of timing and as a result. We are increasing our 2019 net CapEx estimates by the same amount of the shortfall to approximately $175 million. Thereafter we continue to forecast to be at the previously communicated $150 million level. Despite the adjusted EBITDA growth, net income for the quarter was down 5.7% and basic EPS was down 4.4%, primarily due to the amendment of the credit facilities undertaken in the fourth quarter, which resulted in the onetime charge of $2.7 million and the increased non-cash swap charges of $1 million. As Ellis mentioned earlier, we have stead fast focused on creating a diversified entertainment and media company for the future. We are prepared to presumably use both our balance sheets and operating cash flow and our credit facilities to invest in these new businesses. We continue to remain comfortable with where Cineplex Inc. is positioned today. We are still in the early execution phase of a number of our diversification initiatives and our balance sheet allows us to continue to invest in these growth initiatives to deliver future value for our shareholders. That concludes our remarks for this morning and we would now like to turn the call over to the conference operator for questions.
Operator: Thank you. [Operator Instructions] We will go first to Kenric Tyghe of Raymond James.
Kenric Tyghe: Thank you and good morning. I wonder if we could just touch on the Box Office performance in quarter, specifically yet another quarter where Canadian industry and your own Box Office performance tracked below that of U.S., I know we have spoken before the hollowing out to the middle that is sort of a midrange titles et cetera. But is there some other dynamics here that we should be aware of, or mindful of, as you look to 2019 with respect to the relative Box Office performance?
Ellis Jacob: Kenric, great question. And as you have seen during the year, as we go quarter-by-quarter, the gap between the U.S. and Canada continues to close. And it really has a lot to do with the types of films that are released during the quarter that affect Canada versus the U.S. And we ended up with just being slightly down against the prior where the U.S. was just slightly up over 2017. So I wouldn't see that as a trend, but there are certain movies where we basically aren't able to deliver the same kinds of Box Offices as the U.S., because of the demographics between the two countries.
Kenric Tyghe: Thank you. I appreciate the color. And Gord maybe just a quick one for you. I noticed a little bit of a for a better term step change in the SCENE loyalty or loyalty cost in quarter. Is that a function of sort of a new approach with respect to how you are using or need to be using SCENE? Or how should we think about that increasing costs in quarter and is that sort of indicative of a run rate going forward?
Gord Nelson: Yes, Kenric. In my remarks, I mentioned that its primary timing of expenses. So if you remember there is a JV what we - typically we shared 50% of the cost of the program. So in certain quarters, particularly in Q4 and this year versus the prior year. There is a little bit of an elevated expense level. So you may see that on short-term basis as new programs are being introduced and then revert back.
Kenric Tyghe: Sure. And sorry, I should have best clarify on the question. I was just really trying what some of the tweaks we have seen in the year, there is not sort of a change with respect to the value proposition or similar that would dilute the economics on a go forward, this is just timing and there is nothing else we should be worrying about that.
Gord Nelson: Yes. So sorry, when we call out the number that appeared in other operating expenses, which is what we are chatting about. Those are really the costs of running the SCENE infrastructure as opposed to potentially the benefits and what we are recording in Cineplex’s books when points are being redeemed at our theater or being issue for programs that are specific to our theater.
Kenric Tyghe: Great. I appreciate that. Thanks Gord, I will leave it there.
Operator: We will go next to Aravinda Galappatthige of Canaccord Genuity.
Aravinda Galappatthige: Good morning, thanks for taking my question. A couple from me. First of all Ellis. Let's talk a little bit about how you are looking at Cinema Media in 2019, obviously a softer second half 2018. Perhaps touch on some of your - not just your expectations, but also some of the initiatives that you have put in place or hope to put in place to sort of get that side of the business back in sort of and growth territory? And secondly, for Gord, with respect to the Player 1AG. I know that the longer term target is to get to 15% margins. It looks like, there was some variance again, there was some extra cost, I know you talked about timing. How do you feel about sort of bridging that variance from 2018 to 2019 getting to that sort of targeted margin levels? What needs to be done from here on given that a lot of restructuring was completed last year?
Ellis Jacob: So Aravinda on your question on Cinema Media. We really feel strongly about 2019, and we are not really seeing any changes to what our clients case as a move forward with. And there is great interest from automotive and a number of other sectors. And I think when you look at the fourth quarter, fourth quarter of 2017 was on record, because of Star Wars and Jumanji and other products. In 2018, we didn't have that Star Wars lead and we ended up not in bad shape, when you compare it with a record in 2017, we were down middle single digits. And to me I think 2019, we will be well on our way and back on track.
Gord Nelson: And then on P1AG question. Yes, we were still firm on the target margins of 13% to elevate those up to ultimately 15% overtime. Throughout 2018, when we ran through our cost reduction program, I would say our largest opportunities were in some of the businesses where we have done M&A and were we are able to consolidate operations. And as you know, P1AG was the one where we had the most number of acquisitions, and therefore there is the most opportunity to kind of consolidate and with that comes additional costs as you go around to consolidate operation. So let say throughout 2018, we are big focused on managing and looking for cost-savings opportunities, but with that team came one-time elements that we don't foresee occurring in the future.
Aravinda Galappatthige: Thanks, Gord. And just a quick follow-up on the CapEx number you indicated 175 to 2019. Does that include a full sort of amount of 25 or something close to that for the Top Golf location? Or is that only partly factored into 2019?
Gord Nelson: Yes. And look, that is fully factored in. So I do have in my number of 175, I do have a full 25 in for Top Golf. Now that could - depending on the timing of the opening that could potentially shift. But in terms of, kind of being conservative for this year, I'm including the full amount in my guidance for the 175.
Aravinda Galappatthige: Okay. Thank you. I will talk to your lines.
Ellis Jacob: Thank you.
Operator: From Scotiabank we go to Jeff Fan.
Jeffrey Fan: Thank you. And good morning. Question around The Rec Room. So when we look at 2019, it's going to be a big year, very busy year in terms of the number of locations that you plan to open. Can you just walk us through now that you have got I guess five openings now, the capital program specifically allocated towards The Rec Room and Playdium. How much you are going to spend there? Maybe a little bit on just the timing of when these locations come online and on the operating side, maybe a bit on the startup costs as well? Thanks.
Ellis Jacob: Yes, sure. So Jeff, in terms of what may take capital, let me take -. So in capital, and as we have communicated the boxes can be of various sizes. I have got roughly in that $175 million number, roughly $80 million related to The Rec Room, which is somewhat close to six of them around $13 million each, including some cost from 20 builds that will occur 2019. So that is the rough number for The Rec Room and the overall capital number. When you look at startup costs or pre-opening and we started in anticipation of the more expanded role of next year, we will start breaking out the pre-opening costs in our MD&A. And again depending on the size of the box, the range, right around $1 million number from slightly less to slightly more. So in terms of modeling, I reduce $1 million on average in six locations. And then in terms of the timing of the of the various locations, so we have Square One which is scheduled to come online in March. Avalon in April, in Q3 we will have a Ryan Gate and then the other three so would be Bradford and Winnipeg will be in Q4.
Jeffrey Fan: Okay, great. Stepping back as you look at the locations that you have opened. How satisfied are you about the performance coming from these locations? Obviously Toronto seems to be doing really well. But I'm curious about your thoughts on the other locations and how those are doing to give you comfort that you are going to continue to get the return especially and also the revenue take up from these new areas, new locations.
Gord Nelson: And Jeff, you know we are quite happy with the numbers from The Rec Room. I mean, as you know, we were having challenges in one of the locations, we continue to work on that. But at the same time we are focusing on our costs, and as you saw we ended up with a 22% margin. And if we took out the one that is problematic, we would be close to over our numbers moving forward. And we have also felt a little bit, because three out of the five locations are in Alberta. We felt a little bit of the economic impact. Because in the fourth quarter, we had less parties that were both in Alberta than we would have expected. And overall we are quite confident as far as our moving forward and the targets that we accept for the overall business.
Jeffrey Fan: Okay. Thanks Ellis.
Operator: Next from Echelon, we will go to Rob Goff.
Robert Goff: Thank you very much for taking my question. Actually two questions if I could. First on the Cinema Media. Ellis, you make reference to it being back on track. Should we look at revenue growth there as being primarily correlating with the Box Office or to what extent do you have leveraged to increase utilization or higher rates? And then changing quite a bit. Could you perhaps give us update on eSports? What has surprised you in 2018, where you see the strategic shifts? Thank you.
Ellis Jacob: So I will deal with the media and let Gord speak about eSports. But again our focuses on utilization within the media space and one of the advantages you have and continue to build on is the great portfolio that we are able to offer our agencies and clients with all of the different businesses all the way from traditional media in malls to the Tim’s TV to all of these different facets. And attendance does play a role, but much more important is the bigger films that drive the business. And to me, it's about the big event movies and not really the overall Box Office that we see driving the media business moving forward.
Gord Nelson: And so on your eSports question, I guess, what did we see through the past year? I guess one thing is you will see the publishers taking more control over their titles at the pro level. So leaks being created pros or publisher selling the franchises and over watching now Call of Duty. We also see traditional sports players looking to tap into the eSports audience through titles related to their traditional sports games. We see brands just - still in early stages of more traditional brands looking to connect with the impressions that are created in eSports landscape. And then you see content providers and distribution platforms the emergence of new players in that space. We have always been focused in sort of the more, the top to the Pro, 99% of the players that are out there. And so the final question is, what do we kind of see going forward? I would say as the ecosystem evolves it is more commercial relationships, strategic partnerships with some of the other players in the system as we look to enhance our ability to help them enhance their value in the space.
Robert Goff: Okay. Thanks very much.
Ellis Jacob: Thank you.
Operator: [Operator Instructions] We will hear next from Derek Lessard of TD Securities.
Derek Lessard: Hey, guys, just two quick ones for me. And maybe just back to the Cinema Media. You did point out in the MD&A to a challenging advertising environment, I wonder if you can just add some color to that comment?
Ellis Jacob: I think in the fourth quarter, as you know, in the prior year we had the benefits of massive films, whereas this year as we saw the films were basically quite spread out, you had A Star Is Born, Bohemian Rhapsody a lot of different movies that delivered. So it didn't drive the advertisers as much as the year before with Star Wars and in 2019, you have to repeat of the 2017 with Jumanji and Star Wars, both opening in the fourth quarter. So I think we will be back on that higher trajectory. So overall, the advertising environment I think on an overall basis, you have to look at the different segments where they are challenging and we feel that we do provide through the theater a unique way of reaching guests and customers.
Derek Lessard: Okay, thanks for that. And maybe one for Gord. I was wondering if there is any impact from my IFRS 16?
Gord Nelson: Yes, so in our disclosures, in our year-end statements, You know in Note 31, we talk about the adoption of that announcement. Look I think I would also just kind of reference you guys, as readers Note 27, which is our least commitment note, which is our minimum lease commitments. So, those are the contractual committed amounts that we need to pay is roughly $1.1 billion. When you look at the adoption of IFRS 16, you expand the scope of the leases, property leases and then you look at - you try and predict what would happen in the future in terms of which leases you would actually take options on and extended and renew. So, we do provide some language in there about typical theater leases over 20 years with four or five year options related to that. So, I'm going to give you two kind of benchmarks as you will have the minimum lease commitments and you could have potentially much higher amount based on if you extended all the options that will somewhere in between on there. Obviously it's going to impact both the fixed asset number, the obligation of the financing the lease number for the obligation on the balance sheet and then there will be significant impacts to both interest expense and depreciation.
Derek Lessard: Okay. Thanks guys.
Operator: We will go next to RBC to Drew McReynolds. Please go ahead.
Drew McReynolds: Thank you. A couple for me. Gord back to IFRS 16 from a kind of year-over-year basis I guess on your report Q1 will have IFRS 16 in the numbers. What kind of restatements for prior years, I know it's on a perspective basis, but will you kind of help us square this off? And presumably there is no free cash flow impact over the life of the leases?
Gord Nelson: No. No, you are exactly right. I mean, look this can be some new losses. We will provide a bridge in our MD&A to help you get back to kind of how we hit within historically reported, after taking into account any differences that may not exist under the newly adopted standard. So we will provide a level of bridging. We could potentially provide a little session to help explain through the adoption of IFRS 16, when we are completed with that.
Drew McReynolds: Okay, that would be helpful. And then finally on the $25 million in targeted cost savings. Wondering, if you hit that on a run rate basis by the end of the quarter and I guess, any thoughts for additional efficiencies through the system kind of going forward.
Gord Nelson: Yes. You know as we ramped up over the three quarters, so we have the program in the second quarter and we said, we believe that we would kind of intently ramp up after that $25 million in the run rate at the end of the year. I would say, yes, we are there at the end of the year. The impact in 2018 based on that ramp up that I just described, a little bit about $12 million to $15 million. So, we are comfortable that we have executed and delivered on the $25 million. As we look to the future. I mean, I would say that was kind of Phase 1. A lot of - I talked a little bit about P1AG and some of the opportunities in new businesses of extracting synergies and opportunities out there is kind of Phase 1. What I look going forward is more ecosystem opportunities to take advantage of the skill sets that we have in our businesses and extract the benefits of that knowledge across our other businesses. So opportunity to manage the overall operations to extract value from the strengths that we have in the various businesses.
Drew McReynolds: Okay, Thank you.
Operator: And with that, I would like to turn things back over to Ellis Jacob for closing remarks today.
Ellis Jacob: Thank you all for joining us this morning and have a wonderful long weekend. And we look forward to speaking with you on May 9th for our Q1 conference call. Thanks so much.
Operator: And again, that does conclude today's conference. We thank you all for joining.